Jose Ignacio Garat: Good morning. And welcome to today’s meeting, which is the last time I will be presenting Mobico results to you. Thank you for taking the time to join us for 2024 Full Year Results. Firstly, I would like to start by thanking you for your patience over the recent months. We appreciate that it has been some time since we last provided an update. As we go through this morning’s presentation, I hope that you will appreciate why the process has again been longer than anticipated, with later conclusion of the audit due to complexities within the results. Overall, you will see that Mobico is continuing along a path to recovery, delivering on our commitments and making some important operational and commercial gains along the way. There are some areas where despite the relentless focus, we have not progressed as planned, as it is the case with the closing of Germany PTAs negotiation. We’ll talk about this during the presentation. Helen will shortly talk more about continuing our focus on cash and our absolute commitment to the production. But before I hand over to Helen, I would like to share our key messages from the 2024 results. Firstly, another record performance from ALSA and for the growth from WeDriveU has driven continued revenue growth for the Group, with pricing being the key contributing factor in that growth. Mobico Group has delivered EBIT within guidance in full year 2024, with a corresponding improvement in free cash flow. For comprehensive profit improving initiative, Accelerate, delivered ahead of expectations communicated in our Q3 update. Supporting an 11% growth in operating profits, which has been a key factor in delivering results that are within our guidance range for the year. We do have some significant impairments and adjusting items that have driven a statutory loss for the year. These movements relate principally to North America, School Bus and the U.K. business, as well as an increase in the German Rail owner’s contract provisions, all of which Helen will talk about later. We have seen a modest but important reduction in Covenant Gearing to 2.8 times from 3 times. And as you know, reducing debt and leverage remains our absolute priority and the sale of a School Bus represents an important first step towards that ambition. A key contributor to the reduction in leverage in 2024 has been or much clearer focus on organic debt reduction, including more disciplined capital management. Whilst it is important to note that we have good liquidity and have no debt maturities for over two years, or options to accelerate debt reduction remain under active consideration. And last but not least, we have announced some important leadership changes. Phil White has joined as Executive Chair with effect from 1st of May, who is with us on the stage today. Paco Iglesias, the CEO of ALSA, has assumed the new role of Group COO. And Kevin Gale, who is not present today, but is another transport industry veteran, has assumed the role of CEO, U.K. and Germany. I’m very pleased to welcome Phil and Paco. Phil will be saying a few words at the conclusion of proceedings today. As you know, we have seen -- would have seen, we announced the sale of North America School Bus Business to I Squared Capital after a long and very thorough and wide-ranging sales process with a broad potential buyer universe. During the sales process, we received consistent feedback on the position of the business and valuation ranges. The transaction delivered a headline enterprise value of $608 million, that’s £470 million, which represents a full year 2024 adjusted EBITDA multiple of 5 times. Up from net proceeds will be circa £300 million with Mobico retaining £65 million of provisions for historical claim liabilities. The conclusion of this transaction is an important step forward for the company. Firstly, it will deliver on our commitment or it delivers on our commitment to accelerate the reduction of our net debt position, of which this is just the first step. Second, it enables Mobico to reallocate cash flows away from a heavy capital intensive business and focus them on a more attractive growth opportunities with more attractive and predictable returns, especially, specifically in ALSA and WeDriveU. Completing this transaction was important for Mobico, but as we have said before, all other options to further reduce debt and leverage are under constant review. Going to operational highlights, I will go through our division of performances in detail later in the presentation, but first, let me give you a brief overview here of the key developments. Overall, this has been another tough year unwinding the challenges faced by our businesses and building a platform for continuing recovery and growth, making decisive actions to restructure and reorganize operations, and with a relentless focus on improving operating effectiveness and profitability. I am grateful to our dedicated and hardworking team for the progress we have made. ALSA has delivered another record result, substantially underpinning the overall growth and profitability of the Group, and with further opportunities ahead of us, including diversification, new sectors and new geographies. In North America, WeDriveU and School Bus have won new contracts and routes through the bidding seasons, despite undergoing a significant separation exercise that is now behind us. WeDriveU continues to be a success story, delivering 18.9% revenue improvement versus 2023, with continued strong growth expected. And in the U.K. and Germany, although challenges remain, we have taken important steps forward in restructuring and repositioning their operations. The German Rail industry continues to face significant challenges that we, as other operators, are continuing to discuss with the PTAs involved, with negotiations conclusion is still pending. I’m really excited about the continued topline growth supported by a good new contract win momentum. The key focus areas that have driven this outcome are a strong management of pipeline and conversion rate, and an increased rigor on capital allocation discipline and a selective focus on best opportunities from a quality pipeline, with 65% of our contract wins being asset-light. At Group level, we have won 36 new contracts, whose combined annual revenue is £144 million, up from £126 million secured last year. The total value of those contracts is £766 million. Of particular note, within that total are WeDriveU and ALSA. The fact that WeDriveU has continued to grow its portfolio despite the activity of the School Bus sales and separation process is encouraging. Average returns on all of those new contracts include 10% EBIT margins and 28% ROCE. Overall, we were awarded 22% of the contracts for which we bid, which remains broadly in line with our historic conversion rate. I would like now to talk about pricing. Across all of our businesses, it remains important that the Group utilizes pricing power, particularly to offset or even exceed inflationary pressures. This slide briefly describes where we have applied such price increases across the different divisions over 2024. Our ambition remains to at least mitigate inflation through such moves, but retaining, remaining competitive in our markets and delivering best in sector standards for quality, on-time service, customer experience, safety and value. I don’t propose to go through all in detail, as we mentioned in the half year. It is important to make clear that we have become more disciplined in identifying where we need to make such increases and implementing them efficiently and in time. As you know, the Group is in the midst of contract negotiations within the U.K. Bus and German Rail businesses. In U.K. Bus, we have secured an improved funding agreement with Transport for West Midlands that runs until the end of 2025 and will result in an improved business performance for the current year. With the industry more widely contemplating a move to franchising, including the West Midlands, our discussions with our customers regarding long-term future relationships are ongoing and constructive, with a major decision on franchising expected in May. In the meantime, the business remains dedicated to providing a best-in-class service and experience to our customers, supporting our market-leading reputation. In Germany, the rail industry as a whole continues to be beset by issues that are difficult to resolve. Active discussions with our PTA customers to find an equitable solution for both parties are continuing This discussion covered two key areas. Firstly, addressing the multiple industry-wide challenges which include material disruptions caused by significantly increased infrastructure and maintenance work, which severely impacts productivity and reliability, triggering additional penalties. Additionally, this amplifies the sector-wide driver shortage issues and increases labor costs. And secondly, resetting the underlying profitability of all long-term contracts. Albeit at somewhat a slower pace than we had hoped, their outcome remains critical to the business and both parties are obliged to reach an equitable solution. Despite this, there has been some positive movement [Technical Difficulty] reduction in 2024. Also in 2025, the PTAs have agreed a sector initiative that would lead to reduced services and penalties on delivery. And with that money being reinvested into driver training. So this remains a complex situation and despite this being a top priority for the Group, we remain reliant on the engagement of multiple third parties. Helen will have more to say on the detailed position on the German Rail business later in the presentation. With that, I will now pass to Helen, who will take you through the financials in more detail.
Helen Cowing: Thank you, Ignacio. Good morning and thanks everybody for coming today. We’re going to look first of all at the consistent financial imperatives. And I’d like to begin by recapping those in terms of what’s important for the company. Our key priority is improving liquidity and reducing the company’s net debt. The North America School Bus divestment is the first significant step to addressing our liquidity and net debt objectives. This action derisks the balance sheet and improves our liquidity position. This is only the first step and all options remain on the table. After the close of the North American School Bus transaction and we’ll continue to work through those solutions. In addition, we continue our organic cash improvement, cash generation, which over time will improve the net debt situation after we’ve covered the short-term capital obligations that we have during the current year. Our focus on sustainable profitable growth is critical for the development of the financials of the business, contributing to improve liquidity and net debt reduction over time. To deliver this, we’ve improved our rigor around our capital decision-making in capital investment and also exploring CapEx-light opportunities for the Group. So how have we improved those investment decisions? We’ve put higher focus on capital investment decision-making by choosing the best opportunities from a quality pipeline. This helps improve our cash flow and our return on capital employed. And as part of this journey, we’ve lifted the overall skillset in the Group finance function, ensuring we have the right support around financial decision-making for the Group. It’s also building on existing high-performing team in business -- finance and in business development, recognizing the workload anticipated with a more rigorous approach. The outstanding performance in ALSA, profitable growth in WeDriveU and progress in the U.K. turnaround have all contributed positively to cash flow and our ability to reduce debt over time. Although this isn’t a quick fix, our program of cash improvements has achieved significantly more than our target of £25 million full year 2024 and we’ll continue that way of operating through 2025 and beyond. More than £25 million was achieved from a standing start in May through December 2024. We actually achieved £50.4 million in that seven-month period. We continue to identify cost reduction opportunities across the Group and this has become an embedded culture for Mobico rather than one-off programs or projects going forward. Now we come on to talk about the financial highlights and allow me to take a few moments to share these with you so that when you look at the figures on the next page, you’ve got a feeling for what’s behind them. Revenues improved driven by growth across most markets, underpinned by positive passenger demand and a strong performance by business development to grow that pipeline of opportunities. Mobico Group has delivered EBIT within guidance before we talk about impairments in the full year 2024 with an improvement in free cash flow and debt. This is despite the fact that German Rail have not yet concluded PTA negotiations and the ongoing implementation of the complex turnaround in the U.K. As we said at the half year, the U.K. turnaround is taking longer than we initially expected. We won’t see the full benefits of those U.K. run rates until this year 2025, but we still want to deliver full year guidance for the Group before considering those one-off impairments. Profits improvement initiatives across the Group, including Accelerate, remain on track with divisions at various stages of performance and delivery. And also remains the single biggest profit contributor to the Group. We’re building the other businesses. So for example, WeDriveU has exciting further growth potential. The Group adjusted net debt with stable versus the full year 2023 year-end with an improvement in Covenant Gearing. And the Group shown good positive cash generation with free cash flow before growth CapEx and M&A up significantly year-on-year. This is driven by improvements in working capital to initiatives to improve cash, which has funded an increase in maintenance CapEx. We have plans to further deleverage with the organic initiatives improving such that we’ve been able to prove them successful in 2024 will continue that trend in 2025 and our level of ambition continues to grow. The statutory operating loss is a result of the goodwill impairment charge from North America School Bus, together with an increased owner’s contract provision in German Rail. And I will come on and talk about these in detail through the presentation. The sale of North America School Bus brings several positives to the Group. It brings certainty from a liquidity perspective, given the debt repayment profile of the Group. It mitigates interest costs, it gives us greater flexibility and resource allocation to stronger growth opportunities and greater business resilience generally. It’s also true to say that North America School Bus is non-core for Mobico. It would require significant capital with less attractive returns than the rest of the portfolio. And I’ll come on and talk about that in a bit more detail. The Group’s delivered on the financial targets within its control in terms of revenue, profit, cash and debt before those impairments, which are one-off in their nature. The Group is delivered within profit guidance at the lower end of the range, but still well within the range, despite those inflationary headwinds and not closing the PTA negotiations for Germany. The goodwill impairment in North America School Bus is a result of our normal review process each reporting period, and is not connected with the sale of School Bus. And it’s a reflection of lower than anticipated growth in the market and headwinds of cost. That impairment, while disappointing, is unavoidable. The capital investment required to improve School Bus is prohibitive and would take too long to turn around if it remained within the Group. We continue our support for the U.K. turnaround, which is progressing. We’ve implemented a new financial model in Germany, which gives us more rigor and we invest in further growth opportunities across the Group. So our business is growing, it’s delivering profit, and developing strong cash generation and greater resilience. So now I’d like to take you through the financial results in more detail, and before doing that, we need to address the issue of the restatement of 2023, which you can see on here. So as a comparison for this year’s results, full year 2023 is restated with a correction to the owner’s contract provision in German Rail. In line with U.K. accounting standards, we’re required to adjust for any changes expected over the entire life of the contract on a prudent basis. This restatement has increased the 2023 Group statutory operating loss by £22 million to £43.2 million. And I’ll talk about those specifics shortly. Now for the 2024 underlying business results. Group revenue increased by -- increased £261.5 million and 8.3% growth year-on-year to reach £3.4 billion for 2024 full year. And we’ll break this down by division in the following slide. Let’s now look at the Group operating profit. Despite several of the Group’s divisions being in various stages of recovery, Group full year profit, as I mentioned, is £187.7 million, an 11.8% increase versus 2023 before we talk about impairments. Also in North America, particularly WeDriveU have performed well, partially offset by that lower profitability in the U.K. and Germany. Our adjusted basic earnings per share increased to 4.8 pence due to EBIT growth offset by some higher finance costs and profits from associates. No dividend has been paid at the end of the financial year 2024. I’ll address free cash flow more fully shortly. Return on capital employed is at 10.2% versus 7% in the year before and it’s driven primarily by the write-down of goodwill in School Bus leading to a lower asset base. We continue to focus on contracts with improved returns in relation to CapEx we’ve invested and we’re becoming a more CapEx-like business. This is enabled by the pipeline approach that I talked about earlier. Covenant Gearing at year end 2024 improved by 20 basis points to 2.8 times. A positive development versus three times at the year-end 2023 and in line with the commitment we gave at the half year. Improvement is a function of our increased profitability while holding adjusted net debt stable versus the year end 2023. And that was possible because although we encountered headwinds from a cash point of view, we had generated significant extra cash. So, overall, we’ve delivered revenue growth. We’ve managed those debt levels to hold them stable. We’ve generated cash and delivered profit within guidance before we talk about those one-off impairments. So we move next to look at divisional performance in a little more detail. And Ignacio will also talk about it a bit later on from an operational standpoint. We delivered profitable growth in ALSA and North America in both WeDriveU and School Bus, while the U.K. and Germany continue their recovery. In 2024, ALSA delivered an outstanding performance. The growth that led to revenue of £1.3 billion, £162 million up from full year 2023, which is a huge growth achieved in a single year. Our regional long-haul sectors in ALSA saw a 36% jump in adjusted operating profit to £186.1 million from £136.8 million fueled by that revenue growth. Long-haul has continued its momentum due to the leadership shown in the ALSA business, as well as a successful Young Summer scheme. North America is showing good progress with 8% reported revenue growth at £1.2 billion from £1.1 billion with operating profit increasing by £11.2 million to £38 million. Now, although we don’t report audited results by each North American division due to the recent separation of the businesses, I can provide illustrative figures and I’d like to do that. I think it’s going to be helpful. So on an indicative on audited basis, North America School Bus delivered £793 million of revenue, which is a growth of 4% year-on-year. It’s indicative operating profit was £9 million with an operating margin of about 1% and improvements on prior year. North America School Bus has achieved its first net positive route outcome in a decade, which is showing its recovery. And it operates with a focus on school year rather than Mobico financial year. So when we talk about price increases, for 2023, 2024, we saw 7.5% on a school year contract basis and we see the early effects already of the 6.3% overall price increase for School Bus for the 2024-2025 school year. Significant CapEx is going to be needed if we’d retained that business to fuel higher growth and complete its recovery. Come on and talk about WeDriveU. WeDriveU is an exciting business for us. It’s experienced in the region of 16% revenue growth despite reduction in volume with a single major client and it’s been able to manage those headwinds incredibly effectively. In 2024, those illustrative on audited financials show revenue for WeDriveU of £412 million and an operating profit of £29 million, which is up 31% versus the prior year, a significant opportunity for growth. A higher cost base where we’ve invested in people has affected our ability to translate at the moment all of that revenue growth into profitability. Examples of such costs are driver wages and maintenance, but also investing in overheads. And over time, we’ll be able to scale our revenue to result in recovery of that investment. WeDriveU has a solid pipeline of opportunities and it continues to develop the CapEx-light proposition. Come on down and talk about the U.K., delivered revenue of £623 million with growth of £12.9 million, operating profit down by £17 million, looking at Bus and Coach individually. U.K. Bus revenue, £265.5 million, an increase of £19.5 million. U.K. Coach revenue, £357.5 million, slightly down at £6.6 million year-on-year. Coach was a key driver of reduction in profit when you compare to the prior year and that’s really due to the headwinds of the rail strike where we received significant benefits in 2023. And as we’ve cycled that performance, we’ve not been able to recover all of that. German Rail maintained revenue of £256.5 million. It’s a £3.3 million decrease on prior year expressed in sterling, but on a local currency basis, it’s actually an increase of €4.2 million. This was despite the revenue that we lost due to national driver shortages, which is a challenge faced across the industry and you’ll hear us talk about that today. The adjusted operating loss of £9.3 million versus the prior year was close to breakeven, but it’s still a disappointing result. That deterioration is principally due to labor costs, overhead inflation, and higher penalties, which all of the industry is facing and it resulted from those industry-wide driver shortages causing an agreed mileage reduction. Those industry-wide shortages have had a significant adverse impact on results, which as we talked about, because we haven’t closed the negotiations with PTA, those have not yet been compensated, which we would expect to have a positive effect financially. So in summary, we’re achieving revenue growth across the business, across 90% of our business, and 74% of the business’s revenue shows double-digit profit growth. So now let’s just talk about Accelerate. And revisiting what we talked about in the half year, when we talked about the program. At the full year 2024, Accelerate programs delivered ahead of expectations with £52 million of savings now embedded. Accelerate is over-delivered by £2 million, the target we set and spoke to you about at the heart of it. These savings are across organizational design, procurement and digital enablement. The Accelerate program will now deliver sustainable savings of £52 million for the full year 2025 and beyond. And the mindset of cost review is a cultural shift. We’ve appointed a new Head of Procurement and we’ve also focused resources on indirect costs to maintain momentum in this area with benefits for the future. I’m going to walk you through adjusting items in detail because I think that’s something that you would probably like to understand further. And these are the adjusting items that are bringing us to a statutory loss after all of that good performance that I talked about and after delivering ongoing profitability within guidance on an underlying basis. These are one-off, but I’ll take you through each of these. To start with, we have £27.7 million in non-cash amortization for acquired intangibles, which we’re basically classifying as an adjusting item due to its size and nature, which aligns with historical accounting practice for the Group. North America School Buses post-pandemic recovery still faces headwinds and the recovery is not quite as fast as we would like because we’re seeing driver wage inflation, rising maintenance costs and potential fleet cost inflation from new tariffs. These have lowered our profitability and our future cash flow forecasts. Future improvements are only included in these figures for audit purposes if evidenced by full year 2024 year-end documentation and we’re not able to substantiate significantly to be able to improve on the forecast, and consequently, a £547.7 million goodwill impairment for North America school bus was agreed in full year 2024 and is an entirely appropriate adjustment in our balance sheet. It’s unconnected with the sale and it’s really reflects the appropriate carrying value for this asset in the balance sheet of Mobico. On an ongoing basis, we also have to review onerous contracts and the provisions in accordance with U.K. accounting rules for accounting for contracts. Re-measurement of remaining onerous contracts and impairments resulting from both the COVID-19 pandemic and also North America driver shortages resulting in total credits of £4.8 million as these customer contracts have returned to profitability across the Group. We have recorded an £86.4 million charge related to the re-measurement of onerous contract provision in German Rail on the RRX contracts. And a shift in the broader industry landscape primarily drives this change. We’re experiencing persistent, slower than anticipated recovery from driver shortages and the penalties, as well as other cost pressures. We’ll cover Germany in more detail a little bit later in the presentation. We then have £50.6 million in restructuring and other costs. And these relate to Group-wide strategic initiatives and restructuring for which we’ll see future benefits. This includes expenses associated with our Accelerate initiative, which came down as we expected second half on a run rate basis, as we talked about the half year. This restructuring also include costs directly linked to the previously announced sale of our North American School Bus division. Below operating loss, so it doesn’t affect the reported profit, there’s a £194.4 million tax charge in relation to the de-recognition of tax assets in U.K. and North America. And this is because of the length of time it would take to utilize those losses based on the future cash flow forecasts. It’s entirely aligned with U.K. accounting practice where the standard for attaining tax losses in the U.K. has a rather high bar for acceptance. It’s important to note that this write-off has no impact whatsoever on our ability to utilize those losses in the future and therefore has no impact on future cash tax payable. Excluding North America School Bus impairment, adjusting items are lower than full year 2023. While the North America School Bus impairment is disappointing, has to be done to recognize the appropriate level of goodwill in the accounts, given we don’t amortize goodwill on an annual basis for the Group. Now I’d like to come on and talk about cash flow. Our operating free cash flow generation has seen a significant uplift of £46.4 million compared to last year before we’ve then utilized some of it on growth CapEx in M&A. And several key factors drive this positive momentum. Firstly, we’ve delivered improved EBITDA of £426 million in that full year 2024 and that increased profitability clearly translates to improved cash flow. Moving on to maintenance capital expenditure, the £157.9 million invested primarily focuses on essential asset purchases, for example, replenishment of vehicles for profitable contracts. The maintenance investment is an increase of £22.2 million against prior year, driven by the renewal of the profitable asset base in ALSA. And we’ve achieved a substantial improvement in working capital, resulting in a £48.2 million cash inflow. And that’s a direct consequence of our focus on cash collections through full year 2024, particularly in ALSA, which we’re actively rolling out as best practice across the Group. And this has been achieved without any compromise whatever to customer relationships. This is not about stretching payables or collections in any way. These three items together produce operating cash flow of £309 million full year 2024. Interest costs increased by £22.6 million and the increase in interest paid is due to two main factors. Firstly, the first full interest payment on new €500 million bond, which replaced a maturing bond with a lower interest rate in September 2023. And secondly, the impact of higher interest rates on our floating rate debt and RCF facility. Tax was lower by £12.2 million. We paid £15 million, compared to £27.2 million in full year 2023. This lower figure is primarily due to a tax refund received in ALSA related to historical tax losses, which we’re already accounted for as a receivable at the end of full year 2023, but we received the cash in 2024. So free cash flow before growth CapEx and M&A grew by £46.6 million to £210 million. Our growth capital expenditure amounted to £59.3 million, an increase of £41.4 million, compared to £17.9 outflow in full year 2023. And that increase in expenditure reflects several key strategic imperatives. Increased investments driven by new growth contract wins in North America, the timing of fleet purchases in ALSA and the fact that the prior year benefits from a £12 million funding receipt from local authority related to the new Casablanca fleet. So it makes this year look comparatively worse by £12 million. And finally, our acquisitions resulted in a cash outflow of £57.9 million, primarily related to the acquisition of CanaryBus in ALSA, which is performing well and on plan. So you can see that after investing additional funds in maintenance CapEx, growth CapEx and M&A, we’re still delivering an improved free cash flow of £6.7 million at £92.9 million. We continue to focus on cash improvement targets now without the CapEx requirements of North America, which I’ll come on and talk about, North America School Bus, I’m sorry, for the second half of 2025, given that we expect the close to take place in July. Coming on to look at net debt in more detail. Covenant Gearing had an improvement to 20 basis points to 2.8 times driven by the improvement in earnings and our ability to hold net debt stable. We did this despite various headwinds by generating the cash that we’ve just talked about. And you can see from what I’ve talked about about how it’s been utilized. As discussed in the half year results, we’ve extended the Core RCF facility for a further year with a one-year extension option available, taking us to 2030, if we decided to enter into those discussions. We could consider requesting an extension, but we’re not ready to share our thinking at this time as we’re currently reviewing the total debt stack post the sale of North America School Bus. To break down the net debt items, £23.1 million of coupon payments on the hybrid instrument were made in the period in line with prior periods and other inflows of £26.7 million reflect the movement in exchange rates, principally on the Group’s euro-denominated debt and the settlement of foreign exchange derivatives. This resulted in a marginal change in net funds flow. The sale of School Bus is expected to be broadly neutral to Covenant Gearing in full year 2025, depending on the timing of completion and the adjustments on the close. So now let’s come on and look at debt maturity. And we can see that it’s improved. As of the 31st of December last year, the Group had approximately £1.2 billion of net debt and £600 million of undrawn committed facilities with an average maturity of 4.9 years. Importantly, our evolving credit facility was extended and remained undrawn by the year end. We had a total of £800 million available in cash and undrawn committed facilities. To ensure financial flexibility, the Board requires a holding of a minimum of £300 million in cash and undrawn committed facilities. This policy excludes our factoring facilities which efficiently manage working capital through the without recourse sale of receivables. We strategically utilize foreign currency debt and swaps as net investment hedges. And these instruments are crucial in mitigating potential volatility arriving from the foreign currency translation of our overseas net assets. So as of 31st of December, 2024, the proportion of Group debt at the floating rates remain consistent with the prior year at 21%. The £500 million hybrid bond is a core element of our capital structure and it provides important financial flexibility as the business continues to balance deleveraging with investment for growth. As we approach the call period of November to February, we’ll assess our options and the market conditions to determine the best course of action. The final amount of net proceeds from the North America School Bus will be subject to customary completion adjustment by virtue of the completion accounts mechanism. And after repayment of School Bus non-IFRS 16 leases, approximately $75 million at 31st of December, the remainder of those net proceeds will initially be held as cash. So now let’s come on and talk about German Rail. You heard from Ignacio that German Rail industry continues to face significant challenges that we and other operators are continuing to discuss with the PTA. Those industry delays have prompted us to increase the onerous contract provision in the normal annual review of such provisions, giving changes in our view of the contract’s future profitability. Three main factors impact that future view. Firstly, we continue to experience persistent levels of driver shortages, which lead to contractual penalties incurred due to train cancellations. Secondly, we’re facing higher pay inflation. And finally, central overhead costs have also contributed to significant increase in the RRX onerous contract provision. It remains the case that the PTAs are obliged to find a mutually acceptable solution to these problems, which are referred to in the contract as equitable solutions. Despite the challenges, we’ve made excellent progress in closing the driver gap. Training course capacity now at Mobico is increased by 121% and we now have driver training places up from 24 in 2023 to 164 currently. And those will come to fruition later this year, as you heard Ignacio refer to. It’s a 12 months to 18 months lead period and we’re nearing the end of that, which will help significantly. We’re also improving productivity to help mitigate the impact of driver shortages. This investment in drivers, crucial for the medium and long-term health of operations, also contributes to the current onerous contract provision increase because of the costs involved. Let’s come on and talk about prioritizing debt reduction. Now, as we’ve talked about, and as I promised, I’d like to share some more details on our debt reduction and our key focus as a leadership team. Due to trading performance and other initiatives, the Group’s net debt level was stable from full year 2023 to 2024, and our Covenant Gearing, as I mentioned, was reduced to 2.8 times. We recently announced the sale of School Bus for net proceeds of approximately $365 million to $385 million. This sale is an essential first step in our journey to deleverage. The Group, and we’re pleased to have successfully concluded that what a comprehensive sales process. We expect the close of the transaction to take place in July of this year. The Accelerate program has proved highly effective in delivering annualized savings, which we’ve talked about, £52 million per annum. And in parallel, we’re working on continued initiatives to conserve cash and reduce our debt organically. These plans are business-wide with a pipeline of initiatives greater than our target to ensure delivery. We’re ambitious, and we’re engaging the entire organization around the metric of cash. It’s easily understandable, everybody can relate to it, and everybody can have a direct impact. We made a strong start by significantly exceeding our full year 2024 target of £25 million, which we’ve now delivered £54 million for last year. And we’re confident that we can achieve our target in 2025, which was initially set at £50 million, which we hope to significantly exceed. These are proven initiatives where we’ve already delivered. In the short-term, net debt will increase due to historic CapEx commitments where advantageous terms were negotiated, and you’ll see that in 2025. It benefited 2023 and 2024, but you’ll see a short-term bump in 2025 and that relates to receive vehicles that we now have to pay for. Those were favorable commercial terms at the time, and commercially positive for the Group, we just need to pay the bill. This takes nothing away from the underlying improvement in cash and our ongoing commitment to self-help by looking not just at strategic options, but also at organic deleverage. I’m now going to hand back to Ignacio to take you through a brief operational review, before closing the presentation and opening for questions. Thank you.
Jose Ignacio Garat: Thank you, Helen. Now, moving into details across all areas of the business. Turning to ALSA, the division has once again delivered outstanding revenue growth, reflecting consistently good progress in regional, long-haul and urban bus products. We have also seen continued momentum on diversification, including medical and international expansion, countries, such as Portugal. We also saw our contract in Bahrain extended for five years, which is a great sign of the outstanding service and customer satisfactions that we provide. In Saudi, the coach contract won in 2023, is performing well, and is attracting many new appealing business opportunities in the area. Our success in Bahrain and Saudi has built strong credentials and highlights the potential platform for future growth across the Middle East. There was also investment made in a state-of-the-art CRM and revenue management tools, which have delivered high-quality customer segmentation data and have enabled increasingly targeted marketing to increase returns. And as a reminder, this exceptional level of performance in the division has been delivered in the face of increased competition from high-speed rail, highlighting the exceptional resilience of the business. Moving on to North America, and starting with a quick recap on the School Bus, the underlying revenue growth of 7.3% for the year reflects the first net route wins for many years and targeted pricing actions that had a positive impact on the bottomline. There were also significant operational improvements implemented, which included areas such as fleet management and driver training. And as previously noted, the £548 million impairment charge is a consequence of lower profitability and cash flow forecast due to continued market challenges despite significant operational improvements. WeDriveU continues to offer significant growth opportunities, which have resulted in almost doubling the profits delivered across the past three years when I decided to combine the divisions. Moving from $19 million in 2022 to a profit of $70 million in 2024. This has been underpinned by operational improvements and significant actions over loss and low margin contracts. The business has displayed a strong resilience and an ability to capture new contracts despite the not inconsiderable destruction of the separation from the School Bus business and the reduction of £50 million revenue from a top high-tech customer over the period. WeDriveU also links strongly to one of our key strategic focuses, that being enabling the business to direct its growth towards asset-light investments. This was evident in 2024, with over three quarters of the new contract wins being asset-light investments. There have also been changes made in the operations to optimize the business setup. This includes improving the operating base, as well as newly separated and better resource functions. And looking forward, margin will continue to recover and expected through H2 2025 into 20 -- and also into 2026, which will follow the H1 2025 increased cost through the separation process. In the U.K., revenue growth reflected passenger growth together with fair increases in July 2023 of 12.5% and in July 2024 of 6%. In addition, the successful negotiation with the Transport for West Midlands secures a funding extension at the more equitable profit margin until December 2025. The appointment of Kevin Gale as divisional CEO is a cornerstone of the continuing turnaround as he brings considerable operational experience both in the U.K. and Germany, and as well as Bus, Coach and Rail. In U.K. Coach, decisive action was implemented last year to optimize network and operations. These included a redesign of a seasonal network to cope more efficiently with seasonal volume changes, review of third-party costs, improved asset utilization and reduction in maintenance costs. This has delivered significant run rate efficiency into 2025. In NXTS, the transport solutions, we saw £5 million improvement in losses with further work underway to eliminate remaining losses during 2025. We secured important strategic retention of key airport contracts in -- for Dublin and Stansted, and this adds to the successful renewal of Luton at the end of 2023. Moving into Germany, it was another difficult year, reporting revenue of £256.5 million, down 1.2% on a constant currency basis, and the adjusting operating loss was £9.3 million. Revenue continued to be impacted by higher operational penalties because of train cancellations caused by the continued worsening of industry-wide factors, worsening infrastructure reliability and increased infrastructure repair and renewables activity impacting on driver availability and utilization. As mentioned by Helen, an £86 million charge was taken to increase the owner’s contract provisions for RRX1 and RRX2/3, reflecting the further deterioration in anticipated profitability over the life of the contract. However, it is important to note again that the German results presented are stated prior to any mitigations that might be agreed with negotiations continuing. Despite the above challenges, significant investment and progress has been made in the year to address the underlying driver shortages and ensure a strong position moving through 2025 and into 2026. A meaningful driver recruitment, training, retention and development program was launched in early 2024 to arrest the decline experienced and reverse the dependency on agency drivers. By the end of 2024, there were a total of 164 candidates in training compared to 59 in the previous year, with further 152 expecting to commence training in 2025. As a reminder, the training process lasts 12 months to 14 months. In Q1, we have already seen net increases of 22 drivers. Solving the driver shortages will enable us to progressively reinstate mileage and significantly reduce penalties. Now, I’ll turn briefly to our opportunity pipeline. As I have mentioned earlier, the largest part of the growth prospect we can [Technical Difficulty] are increasingly asset-light in nature. That’s important partly because it reflects the continuing opportunity to shift towards being a business with lower capital intensity, greater flexibility and higher rocking. Indeed, that was a key driver behind the decision to sell a School Bus. But the dominance of asset-light options in the mix allows us to both favor lower capital intensity, but also cherry picking those opportunities that do require investment, but offer the returns to justify it. So, summarize our objectives from here. In conclusion, let me recap on key focus areas for full year 2025. We remain focused on our consistent financial impurities, net debt reduction, sustainable profitable growth and U.K. turnaround and improved margins and cash generation. Optimizing or exciting opportunities in ALSA newly -- and newly consolidated WeDriveU. Conclude the German PTA rail negotiation. And finally, our new appointed CEO, Paco will be driving best practices and driving operational improvements across the Group. Before we go to Q&A, and as -- this will be my last presentation as CEO of Mobico, I would like to say a few words. It has clearly been a more difficult period than we all would have hoped for, but I would like to thank you for your support and your time. I would also like to put down on record my admiration for the work of our Mobico colleagues across our operations or teams, the drivers and those in the depot and the central teams play a tremendous role in the communities which we serve. And it’s been a privilege working with them. And with that, we can go now to the Q&A and Phil will say a few words at the conclusion of our meeting today.
Jose Ignacio Garat: We’ll take the questions from the room. So, Gerald, you were the first one.
Gerald Khoo: Thanks very much. Good morning. Gerald Khoo from Panmure Liberum. Three if I can. Starting with the School Bus disposal, I was just trying to reconcile the maximum consideration of $608 million to the various components, and obviously you’ve given the net upfront figure. There were the IFRS 16 leases that move across and then there’s the earn out, but there’s still a gap which by my reckoning is about $115 million. I was just wondering whether you could clarify what goes into that beyond transaction costs. I’m assuming it’s not $115 million of transaction costs hoping. Secondly, on the German Rail onerous contract provisions, there’s been no, I don’t think there was any discussion in the presentation about electricity indexation because that was a big problem this time last year. Is that still in the mix in terms of what you could get? Is there still scope to recover that as part of all of these discussions? And who decides -- I mean, who decides what’s equitable? I mean, obviously there’s a negotiation, but if you don’t reach an agreement, is there a mechanism whereby someone else rules or is there an appeals process? And finally, on the balance sheet, am I right to say that you’re unwinding the deferred CapEx mechanism? So basically paying for CapEx a year in the rears and that’s what’s driving the short-term debt increase. And can you clarify what the number is excluding School Bus now, please?
Jose Ignacio Garat: So, Helen, can you take maybe the first and the third…
Helen Cowing: Yeah.
Jose Ignacio Garat: … on the School Bus discussion on the balance sheet? And then I will conclude with the PTA negotiations.
Helen Cowing: Yeah. So let me take CapEx first. You can hear me okay? So, no, we’re not adopting a policy of deferred CapEx. It is simply that some favorable negotiations were held two years ago where there was deferred payment agreed. I think it’s also fair to say that we moved to a level of CapEx which is much more favorable for the business going forward. So the bump this year is probably between £50 million to £70 million of CapEx, which will be exceptional due to that process that I talked about. And then in terms of on an ongoing basis, the CapEx for the Group before the divestment of School Bus is between £250 million and £300 million. North America School Bus historically has cost about £100 million of CapEx. And so therefore going forward, a good indication would be between £150 million and £200 million. And of that, about 75% is maintenance and about 25% is growth CapEx. Then on the first point, I think, look, there’s a number of things. We’re not providing a breakdown at this stage. There’s still quite a lot of things to unwind. We have to unwind our hedges. We have to unwind our forex. What I will say is advisor fees are completely industry standard. There are some contingent elements of that. So the normal pieces you would suggest really, that’s probably about as much as we can say about that breakdown at the moment. But as you said, leases are also part of that.
Jose Ignacio Garat: Good. And coming back to the German negotiation, the OCP, yes, electricity is one of the components. It is true that in these negotiations, the sectors introduce a new index. But at this moment in time, we have not been able to change to that new index and it’s part of the discussion. But the bigger discussion is the impact of the huge impact that we have seen in the sector on the infrastructure, and I will come back to that. But to your question on, yes, both parties are obliged to reach an equitable solution. So there is a process, there’s a mechanism. I will, at a certain point, present, I mean, actually we have a meeting today with the PTAs again and we will present a claim. That claim needs to be revealed, and if nothing comes out of that, then we’ll need to provide a legal claim and a lawsuit. But we have never in the precedence of the several negotiations that we have done during the history, gone into that level. But yes, there is contractual obligations to seek that obligation. And the thing, let me come back to the, because this is what we need to understand. The level of infrastructure work that I have mentioned in my presentation is massive. To give you an indication, when the bidding was awarded in 2015, for example, most of them were at that area, we had 19 maintenance works in the region per year. In 2019, we have 63. Last year, we have 400 infrastructure works in the region. And already in January and February, we have 228. That is a massive impact, which is impacting all operators around. This is a massive, this is a big change. Why? Because it impacts the productivity, it amplifies the issue with the drivers, and that is why it is so complex, because everyone is impacted. There are so many PTAs involved and this is what really triggering that, and also, obviously, the penalties. The penalties regime needs to be adapted. And so it is very complicated, legal, because it’s public procurement and this is what is taking so long. By the way, President, we did review in the past, for example, RRX1 and RRX2/3. It took us almost two years. But it is not different to any public negotiations that we do. It has taken, in Spain, in ALSA, for big contracts, a year and a half in Bilbao, or some cities in Morocco. This is normal negotiation, but it is true that it is disappointing where you cannot progress at pace.
Helen Cowing: Also, if you’d excuse me, sorry, in answering the question you had on the gap between the net proceeds and the headline, the other element which I didn’t mention was deferred CapEx. So where we’ve had vehicles delivered, still to be paid for, or indeed, imminent vehicles, and we’ve had a negotiation around all of that, so an element also of that bridge is deferred CapEx.
Othmane Bricha: Othmane Bricha from Bank of America. I have a few questions. First, on North America, for the WeDriveU business, is there any potential impact from tariffs on that business, and do you see any dis-energies now? Can you quantify those dis-energies? And longer term, does it make sense for you to keep that business? And then, just to follow up on CapEx for 2025, so you just gave us an indication of a run rate of £150 million to £200 million, excluding the School Bus. Is that valid for 2025? And then, on the U.K., please, can you quantify the loss achieved for NXTS in 2025? And can you quantify the impact of the recent U.K. budget on 2024 and 2025? Thank you very much.
Helen Cowing: Okay. I think I’ll probably take some of that, and some of it I’ll cover outside, if that’s okay, just in the interest of time and complexity. Let’s talk about WeDriveU, first of all, and make sure I’ve got this right. You want to talk about dis-energies, long term, to keep the business. There was another element of the WeDriveU question. What was it?
Othmane Bricha: [Inaudible]
Helen Cowing: No. You asked it a question at the beginning. You talked about dis-en, pardon?
Othmane Bricha: [Inaudible]
Jose Ignacio Garat: You got the tariffs, tariffs.
Helen Cowing: Thank you. Right. So the first thing to say, then, is that although we manufacture any of the vehicles are internally in the U.S., there is the impact of imported steel. We’re quite well capitalized at the moment and we’ve got orders placed for our vehicles, so we don’t expect that impact to be coming in the near-term, but it might have a slightly longer term impact. We’ll have to see what happens at that point. Tariffs may not be in place by then. I don’t know. We’ll see. And also fuel, but we hedge our fuel quite effectively from a layered approach. So I think we’re okay there. Any dis-energies? Well, we had a shared service center in Chicago for both businesses. We separated those out last October. We have right-sized WeDriveU overhead. We needed to invest anyway, because the stage at which they were growing, so they probably wouldn’t have been able to make as much use of the shared services in Chicago going forward, because they’re growing now at such a rate. So if you like, it was about bringing forward something that would probably inevitably happen anyway, because it’s quite low-level operations taking place. I don’t mean low-level disrespectfully, but some quite administrative accounting elements taking place in Chicago. So there are not significant dis-energies, but we have invested in overhead, but that’s much more to support the growth of the business. It will probably take a cycle of 18 months to two years to outstrip those and scale through. And then long-term, look, I’ll pass on to Ignacio as well to comment, but what I would say is, it’s a very attractive, exciting business. We’ve said that all options are on the table and that’s exactly what we mean. We’re not ready to talk about the sequencing of asset disposal at this point. Do you want to add anything?
Jose Ignacio Garat: And as I mentioned during the presentation, we have delivered remarkable operational and financial improvements in the last two years, and the speed and pace that this business is growing with an addressable market of £20 billion, and you can double the size of this business in four or five years. And so where we focus, look at the new business, £77 million, compared to £54 million in the last year. But again, the top priority that we have as a Board is to reduce the net debt and so all options are on the table, and they’re not sacred costs.
Othmane Bricha: Okay.
Helen Cowing: And then just to recap on the CapEx side, we said that for the Group without School Bus, it’d be about £150 million to £200 million, but you need to add to that the rump that we’ll have this year between £50 million and £80 million. You asked about NXTS. We’re probably not going to comment on that here. We’re currently looking at all options, including whether we retain NXTS and thinking about that business. You asked about the impact of the budget. I recall from memory, I think the NI on costs, we had for about £4 million for the U.K., but I’ll need to double check that number and come back to you.
Jose Ignacio Garat: Joe, go ahead.
Joe Thomas: Good morning. It’s Joe Thomas from HSBC. A lot have been covered, but can you just cover a few things off, please? First of all, ALSA, I mean, it was a really strong performance and I’m just wondering to the extent to which that was supported by the multi-voucher scheme and the risk that that’s removed and how we should think about how that plays out the forthcoming year. Secondly, central costs, there was a step up in that and I’d just be interested in what that was the result of. Can you hear me okay?
Jose Ignacio Garat: Central.
Joe Thomas: Central costs. If you could talk about what was behind the step up there and how we should think about that going forward. Then also, Helen, you talked about the unwind of deferred CapEx in the U.K. this year. Is that the extent of deferred? Are you sort of clean once that’s done? I mean, I’m just sort of wondering if there’s just kind of one lump to think about there? And then finally, just circling back, Ignacio, you were talking, I mean, I was going to ask also about how are you going to enforce this equitable solution in Germany? I mean, if you don’t reach an agreement, I think the suggestion was you’re going to have a conversation with them today and if you don’t reach an agreement, then we’re open to legal recourse. I’m just wondering, is it really that imminent that the legal action could start?
Helen Cowing: Do we try to answer the…?
Jose Ignacio Garat: Yeah. Do we take the financial ones and then you come back to it?
Helen Cowing: So let’s talk about the deferred CapEx first of all. So it’s interesting you use the word clean. I don’t see it as dirty actually. Where we can get good commercial terms and pay later with no additional charges, that’s good cash flow, it’s good capital and working capital management. But we don’t have a lot of hidden kind of liabilities in our business, that’s fair to say. We use leases more often. And I think that if we see those opportunities and they don’t have any other disadvantages, we continue to take advantage of them. But there is no kind of hidden problem and it’s not something that’s been building for years. It’s simply an opportunity that was taken a couple of years ago. Second thing is you asked about central costs. The biggest driver of any central cost improvement is where we’ve paid bonus in a year we’ve had better performance against a year where we didn’t pay any bonus, where we had disappointing performance. And that’s the single biggest driver and it is most of the reason for the difference. There are also some administrative costs on sort of one-offs where we couldn’t exceptionalize them, but we’ve done some reorganization within the company quite strict rules now. What I will also say is we have been investing. I talked about, we did some investment in finance, for example, but we’ve managed to manage that overall in our overall central cost base. And we’ll continue to do that. I think it’s very important that we are, let’s say rearranging furniture to get the best returns on the overhead that we have, but we don’t want it to get out of control and so we do monitor that quite closely. And then you want to talk about also in Germany.
Jose Ignacio Garat: Yes. Yes. So I’ll start by ALSA. The same way that we have had headwinds in every single market in ALSA, we did experience ALSA in Spain. We have experienced tailwinds, not that we cannot deny that. Multi-vouchers and the Young Summer has obviously helped, that growth. But it’s true that even with Young Summer, very successful last year, 1.5 million passengers, but even when that finished, the momentum continued. So, in general, in Spain, there is a full, very big support, social support on considering mobility, a right for our citizens. And there’s a lot of, in one way or another, incentives to promote that with the, also with the green agenda. So, but of course, it has a positive impact. But at the same time, the reality is that, with Evolve, really helped us, and in particular in ALSA, and WeDriveU in understanding where we wanted to concentrate, what sort of geography, what sort of sectors, and if you see the diversification that we have had, it’s impressive. Let me give you an example. We entered with a small acquisition, almost three years now, in medical transport. It was £10 million. Next year, we’ll be £110 million. Yeah, and we have positioned ourselves. Now we’re number one in the Madrid region. We have entered the Basque country, and we have now been awarded a contract in Catalonia. So, see the capability, and the leverage -- operational leverage that we get with the credentials that ALSA has, the way it works. So, we have been diversifying that. In international, the same thing. Portugal, we’re having 80% growth in international products with good margins. So, we’re diversifying as well and this is also driving that growth that we’re experiencing in ALSA. And then, going back to the PTA, I mean, we have never had legal procedures, because, again, let’s go back to all the negotiations that we have done, quietly, with German PTA in the past. They are very constructive. They are the first interested to make sure that it is sustainable, because, again, everyone is impacted. And you have had failed in the region. We have a failed operator, Eurobank, that they have to bail out. Keolis, Abelio. So, they are the first interested to do that, and we’re very grateful for them, because they have supported us in the past and there’s no reason to believe that we will not reach a settlement, an agreement in this location.
Joe Thomas: Can I just follow up on that? What is -- just to remind us, what there is to stop you, actually, just exiting those contracts?
Jose Ignacio Garat: Well, there’s huge financial and reputational consequences. First, you have a parent company warranty, and, obviously, if you exit the business, there will be a tender, and you will be obliged, contractually obliged, to pay the difference between the -- so, that’s one, and then, reputationally, let’s, remember that we are in Europe. So, any public tender will be impacted by a decision to exit unnaturally a contract, including ALSA, which we have a lot of public contracting. Any other questions in the room? Should we pass on to the, yeah? Are there any on the phone? Let’s check.
Operator: Yeah. Our first question comes from Ruairi Cullinane with RBC. Ruairi, your line is now open. Please go ahead.
Ruairi Cullinane: Hi. Good morning. My first question on the transaction, the $70 million earn out, when could you receive it and what are the performance conditions? Secondly, what cash outflow should we expect from the provisions on your balance sheet? And then, finally, can you remind us on the concession renewal process for ALSA? Thank you.
Helen Cowing: Okay. Thank you, Ruairi. So, on the first one, on the earn out, there are quite a lot of conditions around it. It is quite complex and varied, and we’re not disclosing at this stage. I think it comes to fruition in two years, if I’m not mistaken, but we’re not sharing the details of that earn out at this point. On the cash outflows, it’s difficult to say, frankly, and I’m not avoiding the question, but for example, let’s talk about the onerous contract provisions for Germany. Let’s just take an example of that. So, where we see an increased cost in a contract over the life of the contract, let’s say that’s nine years remaining. We have to allow for that, and that gives us an impact of those nine years to take in a single hit. Now, we might get PTA compensation. We might be able to reduce those costs. We might be able to find a way of mitigating them differently. And so, therefore, the actual translation of that provision into cash is uncertain. Our provisions at the moment are unwinding at the rate of about £25 million a year, but that’s because we’ve got early on a rump in terms of 2025, 2026, but that will reduce to about £13 million thereafter. So, it is more complicated. I can’t just give you a straight answer, I’m afraid. What I can say is that, from a School Bus point of view, that is a correction of goodwill in the balance sheet. That doesn’t have a cash impact. And then, obviously, if you have provisions for bad debt and so on in the normal course of business, again, that’s minimal, and you would not expect that to unwind from a cash point of view unless you had a default from one of your customers. So, I can’t really answer it in a more straightforward way, to be honest.
Jose Ignacio Garat: And coming to the…
Ruairi Cullinane: Yeah.
Jose Ignacio Garat: … do you have any more?
Ruairi Cullinane: No. Okay.
Jose Ignacio Garat: So, coming back to us and the consensus renewal, the process has seen, again, another delay, and the current expectations is, at the earliest, it could be probably second half of 2027. The Sustainable Mobility Act is still in parliamentary process, which is what provides the legal framework and certainty to the transitory state, and that has been delayed from 2024, which was our expectation, to 2025. We still don’t know when that will be concluded. And very quickly, as you know, then you have the economic work and the remaining of the concessions, then the drafting of the projects, then the approval of the concession map, and then drafting and initiating the tendering, and then the award. So, by the time that this is mobilized and implemented, probably now, we’ll be more closer to the end of 2027 or 2028. That doesn’t mean that some of the concessions could come out earlier in the period, specifically those which are loss-making for some operators.
Ruairi Cullinane: Thank you.
A - Helen Cowing:
Jose Ignacio Garat: Yeah.
Operator: Thank you very much. [Operator Instructions] Our next question comes from Alex Paterson with Peel Hunt. Alex, your line is now open. Please go ahead.
Alex Paterson: Yeah. Good morning, everybody. I’ve got quite a few questions, so it might be easier if I just ask them one at a time. I was just going to ask you, in the announcement you made relating to the sale of North American School Bus, you talk about restructuring and separation costs and that they’re excluded from the proceeds. Can you just say or quantify what the sort of scale of those might be? And can I just confirm that you’re going to be paying them through the continuing parts of your business?
Helen Cowing: Okay. That’s fine. And also, Alex, just to say, just in the interest of everybody here, very happy to also take questions offline and also on the roadshow, which we’ve got starting tomorrow. So maybe if you ask a few that you think are a benefit to everybody, and then if there are ones that are specific for you, then we can take those offline if that’s helpful. So to answer the question, the bigger part of the separation costs, I think, have probably already been incurred. We started separating the businesses last August. We took the real rump of costs from October through to December and then the very early part of this year. Some of them were exceptionalized. Some of them we couldn’t exceptionalize, because we had existing members of staff where we changed the nature of their job. It was really about separating out the shared service center in Chicago. That was one of the bigger costs. And as I say, we’ve either already expensed it or already taken it through exceptional. So that, other than the fees and any elements that will be charged to disposal, we’re not expecting sort of further expenses that would affect this year’s P&L from the separation.
Alex Paterson: So nothing for 2025 in the P&L?
Helen Cowing: That’s my expectation. Yeah.
Alex Paterson: Yeah. Okay. And then secondly, are you hedging the dollar proceeds from that sale to sterling or if you haven’t so far, when would you do that, if at all?
Helen Cowing: So the proceeds won’t appear until we close in July. We actually have sufficient existing hedges. So we’re going to repurpose the hedges that we have, look, make -- making sure those denominations, the timings and the level fit. But we’ve already sort of been through that and we’re quite confident that we can extend and adapt those hedges to be fit for purpose. So we’re already covered in that regard.
Alex Paterson: No. Understood. And you say there’s $75 million of non-IFRS 16 leases in North American School Bus. Can you say what they relate to and why they would not be transferring with the business?
Helen Cowing: So they relate mostly to vehicles and simply because the buyer has their own financing arrangements and don’t need to take on that debt from us. They don’t need to novate the debt. They’ve got their own arrangements.
Alex Paterson: And so the vehicles are transferring separately from the leases on them?
Helen Cowing: Effectively.
Alex Paterson: Understood. And then can I just ask a couple more? The first is just in the U.K., the Zenobē liability. So you’ve got a fleet as a service agreement with Zenobē. Can you just say what the value of that is remaining and what happens if there was to be franchising in the West Midlands and you didn’t retain all of the routes and therefore you wouldn’t require all of your fleet to operate that, what would happen to those leases?
Helen Cowing: So I want to be as helpful as I can. I’m going to try and answer part of that question, but also we’re already in discussions with various parties on related topics and I don’t want to compromise that. So you’ll have to forgive me if I’m not super precise. I think it’s fair to say, yes, we have liabilities, but they match the services we’re providing and the routes that we’re operating. So we’re not concerned that those are out of step. It’s entirely expected that should we transfer those services, those agreements would transfer with them is probably the easiest thing I can say. So we’re not expecting a liability to arise for the Group, but I don’t want to say more really. I think that would be inappropriate at this point. Does that sound reasonable?
Alex Paterson: No. Understood. And would you look to bid on any other operations which are franchising in regions outside of the West Midlands?
Jose Ignacio Garat: Yeah. We will certainly, Liverpool is coming out, so we will be participating. And this is one of the benefits, thinking on the future, on the equity story and why it is such an important first step. The resulting Group is very common. What we see in the U.K., what we see in ALSA, what we see in WeDriveU is exactly the same business. Paco is already identifying a lot of synergies, opportunities, so one of them being the bid and tender. We have a very robust, experienced bid and tender team in ALSA, which has been supporting the international expansion. And Paco is already working with Kevin and Kevin’s team to see how we can support in that process.
Alex Paterson: Right. Thank you.
Operator: Thank you very much. We currently have no further questions. So I will hand back over to the management team for any closing remarks.
Jose Ignacio Garat: So thank you very much. Again, to all of them, we have now concluded, and our new Executive Chairman would like to say a few words.
Phil White: Okay. Then, hope you don’t mind, but I’ll say a few words from the table. I’ve been sat here very, very quietly this morning, so I apologize for that. I’m sorry for shocking you for being here. I don’t think you would have expected me to be sat here. But I’m sitting at the table, because that’s the biggest podium I’ve ever seen in my life, and I probably won’t be able to see you if I stand at it, so I think it’s a bit more comfortable this way. But first of all, can I just thank Ignacio for all you’ve done in the past few years as CEO, and also thank you very much for helping me in the last two weeks or three weeks, trying to get myself up to date. You’ve done a great job on that. Thank you very much. But can I just say that, although it is a surprise to you and to me, I’m absolutely delighted and thrilled to be back home. It’s 20 years since I was with, shall I say National Express? Am I allowed to say that? 20 years since then and it’s a dream come true. Believe it or not, sat in front of you guys today, and all the problems you’ve probably given me in the past, I’ve still missed you. So it’s an absolute delight to be sat here today. So thank you very much for accepting me back. It’s a very different business these days, but can I just say, I love the industry, I love the company and I love the people. So I’m really looking forward to taking up my position. I’ve not started yet, by the way. So it’s a bit, I’ve never done this before when I’ve not been in a job and I’m still presenting about it. But I think the interesting thing is, we know we’ve got some great businesses here, some absolutely fantastic businesses. We’ve got some good businesses. We’ve got some businesses that are in trouble. And it’s our job as management, really, to look after all those businesses, whatever state they’re in. So working with a team, it’s my job to make the help, make the great businesses greater, to make the good businesses great and sort out the troubled ones. So it’s quite a task. But I’m really looking forward to working with the team and trying to sort things out. I think an interesting statistic is that when I left National Express 20 years ago, it’s a long time, isn’t it? ALSA was 20% of the business and the rest of the business, which is U.K. and the States, was 80%. Now ALSA’s 80% of the business, and the rest is 20%, however you define it, which is a massive change. But I’d just like to thank Paco and all the team in Madrid and Spain for the work you’ve done since you joined us 20 years ago. You’ve done a fantastic job. I mean, ALSA’s just an incredible business, and it’s growing and growing, and hopefully that will continue. So I suppose I’ve been, it’s like being reborn, this. So it’s absolutely new to me. I’m loving it. But can I just assure you, I wasn’t dead. I’m not Lazarus rising from the dead. I’ve been doing lots of interesting things. I’ve enjoyed my career since National Express, and I’m really looking forward to moving forward with the Group as it is. And I’m looking forward to seeing all our stakeholders in the next few weeks or so. But while I’m here, if you have any questions you want to throw to me before we depart, I’m pleased to take them, so long as they’re easy. So if you want to say a few words or ask a few questions, I’m happy to take them. But great to be back. Thank you. Gerald, you must have got one after all these bloody years. Okay.
Jose Ignacio Garat: Okay. And you will receive many very soon. So if there’s no questions or comments. Thank you very much. And with this, we conclude the presentation today.
Helen Cowing: Thank you.